Operator: Hello, and welcome to The Greenbrier Companies Fourth Quarter of Fiscal 2023 Earnings Conference Call. Following today's presentation, we will conduct a question-and-answer session. Each analyst should limit themselves to only two questions. Until that time, all lines will be in a listen-only mode. At the request of The Greenbrier Companies, this conference call is being recorded for instant replay purposes. At this time, I would like to turn the conference over to Mr. Justin Roberts, Vice President, and Treasurer. Mr. Roberts, you may begin.
Justin Roberts: Thank you, Sarah. Good morning, everyone, and welcome to our fourth quarter and fiscal 2023 conference call. Today, I'm joined by Lorie Tekorius, Greenbrier's CEO and President; Brian Comstock, Executive Vice President and Chief Commercial and Leasing Officer; and Adrian Downes, Senior Vice President, and CFO. Following our update on Greenbrier's performance in 2023 and our outlook for fiscal 2024, we will open up the call for questions. In addition to the press release issued this morning, additional financial information and key metrics can be found in a slide presentation posted today on the IR section of our website. Matters discussed on today's conference call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Throughout our discussion today, we will describe some of the important factors that could cause Greenbrier's actual results in 2024 and beyond to differ materially from those expressed in any forward-looking statements made by or on behalf of Greenbrier. And with that I'll hand the call over to Lorie. Good morning.
Lorie Tekorius: Thank you, Justin, and good morning, everyone. It's hard to believe that we're nearly two months into our fiscal 2024, which we entered with significant momentum after a transitional period in 2023. I'm going to underscore several accomplishments beyond our strong financial performance, including record annual revenue. Execution of several key financial targets in 2023 was aided by the multi-year strategy we presented at our inaugural Investor Day in April. Internally, we've named our multi-year strategy Better Together. The plan sets three fundamental priorities. First is maintaining our manufacturing leadership position across geographies. Second, we will meet our customers' needs as we optimize our industrial footprint for efficiency and margin enhancement. And third, and of equal importance, we will grow at scale in leasing and services to reduce the impact of manufacturing cyclicality on our overall enterprise. As part of our footprint optimization, we analyzed our global production capacity. And the outcome of the analysis resulted in the sale of our Gunderson Marine operation and a small foundry in Texas, as well as our exit from a manufacturing joint venture in Turkey. Further, we acquired the minority stake of our leasing joint venture partner in North America to take full ownership of our lease fleet. Underlying these actions and others is our fundamental approach to make Green Bear simpler and more profitable. And we're extremely pleased with our accomplishments and strategic progress in fiscal 2023, but we're really never fully satisfied. And in some cases, we're ahead of our internal schedules, and others, we're laying the foundation to execute the plan. The recap of our results comes with a caveat. We don't expect our progress to be linear, and our goals target a five-year completion window. So now turning to our results. First, I have to commend our commercial team for their outstanding performance throughout fiscal 2023, and particularly this past quarter. In the face of muted demand for intermodal units, the breadth of our product offerings and our strong business origination abilities resulted in a very high share of North American railcar orders the last few quarters, culminating in a 40% share of the industry backlog as of June 30. This provides us with excellent visibility and confidence that we're on the right track. For the fourth quarter, we generated revenue of a billion dollars, unchanged from the prior quarter. As revenue remained durable, aggregate gross margins expanded to 12.5% from 12.3% in the third quarter. For the full year, aggregate gross margin was 11.2%, which is a 50 basis point improvement from the trailing 12-month aggregate gross margin as of our investor day when we established a mid-teens aggregate gross margin target by fiscal 2026. Fourth quarter manufacturing gross margin of 9.3% was relatively unchanged from the prior quarter. However, there was positive movement behind the static percentage. The negative margin impact of a strengthening peso was partially offset by achieving certain manufacturing footprint efficiencies. As I mentioned earlier, the evaluation of our manufacturing footprint resulted in the sale of Gunderson Marine and our Texas Boundary, bringing approximately $20 million of permanent annual savings as we step into the next fiscal year. Greenbrier's flexible manufacturing footprint allows us to create value and generate returns while solving our customers' problems. For example, we recently adapted production lines for new railcars to accommodate large railcar refurbishment programs for multiple customers in North America. And similar to the railcar conversions we've previously discussed, this business activity is accretive to earnings but is not included in new railcar deliveries. Railcar refurbishments and conversions allow customers to extend the life of their railcar fleet while improving the overall operating efficiency of the North American fleet. Additionally, this work benefits the environment through the reuse or recycling of components like wheels, axles, and brakes and significantly reduce steel consumption. For example, stretch conversions use approximately 65% less steel than newly built railcars with similar dimensions. Our in-sourcing initiative also occupies line space previously dedicated to new railcar production. The first phase of bringing fabrication in-house for basic primary parts and sub-assemblies as part of our make versus buy strategy was completed in the fourth quarter. We expect to achieve our full cost savings targets of $50 million to $55 million from this initiative in fiscal 2025. And moving across the business, maintenance services continued its positive momentum even though wheel volumes declined compared to the prior quarter due to seasonality. And while revenue and maintenance services decreased by about 23%, gross margin increased by 430 basis points resulting in earnings from operations that fully offset the reduced revenue. This was accomplished through improved pricing and the impact of the operating efficiencies we've been driving over the last two years in this business. And now as Brian will explain shortly, we have a solid foundation in place for expanded leasing strategy and are advancing it thoughtfully. This is a critical component of our multi-year plan and is expected to result in the doubling of recurring revenue within the next five years. The market conditions for railcar leasing remain very positive and we're in a great position to execute our plan. Returning capital to shareholders is integral to our approach to capital allocation. I'm pleased to report that our board declared a quarterly dividend of $0.30 per share last week. And you may recall that the dividend increased 11% in Q3. Our dividend has doubled since its reinstatement in 2014 and the Q4 dividend represents Greenbrier's 38th consecutive quarterly dividend. We also repurchased shares during June at attractive levels. For the full year, we repurchased 1.9 million shares for $57 million at an average price of approximately $29 per share. And the broader economy is dynamic and geopolitical strife again commands our attention and our concern. However, our outlook remains positive. We expect North America and Europe to continue to see strong demand across railcar types underpinning both new bills and lease renewals. We have excellent near-term visibility for fiscal 2024 and are focused on maximizing our platform's potential as we progress towards our multi-year targets. We're confident in the long-term strategy we presented at the investor day because it's focused on the things we can control and not reliant on an overly optimistic demand scenario. I and the rest of the team look forward to sharing our progress on future calls. And now I'll turn it over to Brian who will elaborate on railcar demand and our leasing activity.
Brian Comstock: Thank you Lori. In Q4, Greenbrier secured new railcar orders of 15,300 units worth nearly $1.9 billion, marking a strong end to the year. Orders continue to be broad-based and diverse across most railcar types except for intermodal where market conditions have been soft. As of August 31, Greenbrier's global backlog was 30,900 units valued at $3.8 billion, our highest backlog value in nearly eight years. Our commercial performance reflects our leading market position, strong lease origination capabilities, and direct sale experience. Despite fears of recession and slowing traffic volumes, particularly in intermodal, we maintain a healthy backlog and robust deal pipeline, largely due to our diverse portfolio of railcar designs. Our ability to originate and syndicate leases has also contributed meaningfully to our strong position in the market. Notably, international orders accounted for nearly 20% of the activity in the quarter. These orders came as we launched our leasing and syndication business in Europe. We successfully completed our first syndications in Europe, opening a new channel to the market. We're excited about our opportunity in Europe where the rail industry enjoys strong secular tailwinds as we discussed during our investor day. Likewise, we are pleased with the performance of leasing and management services in the quarter. Our lease rates on renewals continue to increase by double digits, and we are extending lease terms while maintaining a high fleet utilization. The market for leasing railcars continues to be strong, with tight railcar supply and high fleet utilization among lessors. Lease rates continue to be compensatory considering rising interest rates, which translates into higher lease rates on new originations and renewals. Regarding the underlying leases, the durations are staggered to mitigate the impact of cyclicality and create upside potential through favorable renewals. As we described during investor day, we intend to grow our fleet more steadily over the coming years and have committed to invest up to $300 million per year for each of the next five years. In 2023, we invested over $240 million on a net basis into our fleet after including asset sales from the fleet. As we shared in our press release this morning, we anticipate a gross investment of $335 million, which includes capital expenditures and transfers of railcars produced onto the balance sheet in 2023. As part of our regular fleet optimization, we expect to generate proceeds of about $80 million from asset sales. We remain focused on railcar types that will maintain a balanced fleet profile and reduce concentration risk. I want to emphasize that we will only invest in the right assets with the right lease terms and counter parties. We are steadily progressing towards our stated goal of doubling recurring revenue from leasing and maintenance services. As of the end of fiscal year, our recurring revenue was about $125 million, which is a 10% increase from our investor day when we first shared our target. Recurring revenue is growing from various sources, including new railcars added to our lease fleet, lease extensions at more favorable terms, and growth in the income of the management of third-party railcars. We continue to fix rates on our non-recourse leasing debt, and our average interest rate of 4.2% is significantly lower than current market interest rates. Given ongoing interest rate instability, we are regularly evaluating our financing strategies as we grow our lease fleet. At the end of Q4, our fleet leverage was 78% , in line with our targeted fleet leverage framework. As a reminder, railcars on the balance sheet are shown at net book value, while we leverage at an appraised fair market value. This results in leverage ratios appearing to be higher than they are in reality. In fiscal 2023, our capital markets team syndicated 4,200 railcars, generating strong liquidity and margins. This includes 900 railcars syndicated in the quarter, a modest increase from Q3. This market remains liquid with a strong appetite for this asset class, and our team is preparing for another busy year in 2024. We expect railcar deliveries to be around industry replacement levels for the next few years, with retirements keeping pace and driving better overall fleet utilization. We are confident we have the right strategy in place to execute against this backdrop. Entering the new fiscal year, we remain focused on optimizing our manufacturing capabilities and growing the leasing and management business. With that said, I'll hand the call over to Adrian, who will speak to the financial highlights in the quarter and here.
Adrian Downes: Thank you, Brian, and good morning, everyone. As a reminder, quarterly and full-year financial information is available in the press release and supplemental slides on our website. Greenbrier Q4 performance continued to the momentum from the third quarter, with improved aggregate gross margin percent and higher operating margin. Following some highlights from the quarter and full year, I will also provide a general overview of our fiscal 2024 guidance. Notable highlights for the fourth quarter include new railcar orders of 15,300 units, valued at $1.9 billion with a book-to-bill of 2.2 times, highest in many years. Third quarter, third consecutive quarter, with revenues $1 billion or higher, primarily driven by the continued strength in our manufacturing segment and solid performance in our other business units. Aggregate gross margins of 12.5% reflect sequential margin enhancement from improved operating efficiencies as a result of stronger pricing and profitability in wheel sets and components at maintenance services. We also estimate the peso strengthening in the quarter negatively impacted manufacturing gross margin by 100 basis points. Selling and administrative expense of approximately $60 million is lower sequentially reflecting a reduction to employee-related costs attributable to lower incentive compensation and consulting expenses. Quarterly tax rate of 30.9% was higher than the third quarter due to the mix of foreign and domestic pre-tax earnings and discrete items. Adjusted net earnings attributable to Greenbrier of $30 million generated diluted EPS of $0.92 per share. Adjusted EBITDA of $97 million or 9.5% of revenue. Notable highlights for the full year include deliveries of 26,000 units and increase of over 30% from the prior year. Adjusted net earnings attributable to Greenbrier of $99 million are $2.97 per diluted share on record revenue of $3.9 billion. This represents a year-over-year increase of over 110%. Adjusted EBITDA was $340 million or 8.6% of revenue and compared to fiscal year 2022, adjusted EBITDA increased by 47%. We had solid operating cash flow of $71 million. Shifting our focus to liquidity, Greenbrier generated $70 million of operating cash flow in the fourth quarter due to strong operating momentum. Full year results of over $71 million represents the first year since 2020 that operating cash flow ended the year positive. This was primarily due to an increase in net earnings and more efficient working capital usage. Greenbrier's Q4 liquidity remained solid at $646 million consisting of cash of $282 million and available borrowings of $364 million. Throughout fiscal year 2023, there were a number of strategic steps we undertook as part of our disciplined approach to capital deployment and announced at our inaugural investor day in April. The first was maintaining a strong balance sheet with healthy liquidity and structuring our debts to align with the business. During the year ended, August 31, 2023, we repaid the North American credit facility borrowing of $160 million. We drew down the remaining $75 million on our leasing term loan facility and we upsized our non-recourse leasing debt warehouse in June from $350 million to $550 million. We continued to mitigate risk by fixing interest rates on our non-recourse debt positioning us to continue investing in our long-term lease slate and to drive through cycle earnings. Another integral part of this strategy is our commitment to returning capital to shareholders through dividends and share repurchases. Over the course of the year, we repurchased $1.9 million shares to stock for $57 million, leaving $46 million remaining of the authorization under our current share repurchase program, which extends through January of 2025. As highlighted by Lori, on October 18, Greenbrier's board of directors declared a dividend of $0.30 per share. Based on yesterday's closing price, our annual dividend represents a dividend yield of approximately 2.9%. Throughout the year, we’ve returned $36 million to shareholders through dividends and since reinstating the dividend in 2014, Greenbrier has returned over $488 million of capital to shareholders through dividends and share repurchases. Our board and management team remain committed to a balanced deployment of capital designed to create long-term shareholder value. As we look to fiscal 2024, our outlook remains positive. Forecasted liquidity levels are expected to increase from improvements and operating results and from working capital efficiencies. In turn into our fiscal year 2024 guidance, based on current business trends and production schedules, our outlook reflects the following. Deliveries of 22,500 to 25,000 units, which includes approximately 1,000 units from Greenbrier-Maxion and Brazil . We have devoted a portion of our flexible manufacturing footprint to large railcar refurbishment programs for multiple customers that are recreated to earnings but are not included in new railcar deliveries. Additionally, our insourcing initiative utilizes space previously used for new railcar production capacity. Revenues between $3.4 billion and $3.7 billion, selling and administrative expenses are expected to be approximately $220 million to $230 million, gross investment of approximately $335 million in leasing and management services, which includes capital expenditures, and transfers of railcars produced onto the balance sheet during 2023 [enter the lease fleets]. Capital expenditures of $190 million in manufacturing and $15 million in maintenance services. Proceeds of equipment sales are expected to be approximately $80 million. We expect full-year consolidated gross margin to increase to the low teens. And taking all of this together, we expect to grow earnings this year from fiscal 2023. We're encouraged by robust backlog, the largest value in almost eight years, which provides us with strong visibility and stability over the coming years. Supported by a talented management team that has experienced with a demonstrated track record of success, we're excited about fiscal 2024 as we continue to execute our strategic plan. Because of the strength and flexibility of our employees and business model, we are better together and continue to be well positioned to drive shareholder value in 2024. And now we will open it up for questions.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] At this time, we will pause momentarily to assemble our roster. Our first question comes from Justin Long with Stephens. Please go ahead. 
Justin Long: Thanks and good morning. I wanted to start with a question on manufacturing margins. It was helpful to get the impact from the peso in the quarter, but I was wondering if you could help us think through the cadence of manufacturing margins going forward as we move into fiscal '24. And then maybe you could address the Eagle Pass disruption that we saw in September and what type of impact that might have?
Brian Comstock: Yes. So good morning, Justin. I think I will get started with the margins and then we can kind of speak to the impact of Eagle Pass. We would expect based on our current backlog production schedules, all the usual caveats that we would expect to see margin expansion in manufacturing kind of in Q1 and into kind of intermittently throughout the year. So I think the way to think about this is we do see expansion in Q1, but then also given the volatility of some of our production timing when cars are going onto the balance sheet. Overall, we do see expansion throughout the full year compared to fiscal 2023, but it's not going to be a stair step progression, if that makes sense.
Justin Long: Got it. That made sense. And on the Eagle Pass component? 
Adrian Downes: Yes.
Lorie Tekorius: And I would say, yes, the Eagle Pass situation is something that we're watching very closely. We're very engaged at our various facilities as we're making certain that we're getting the inbound material that we need to produce railcars as well as outbound. We have been working very closely with the rail roads that service our facilities and at this point in time, we have not had significant disruptions or issues in getting railcars picked up from our facilities or getting them across the border. That being said, we are not resting on our laurels. Every day we're coming up with different ways that we can think about how we might mitigate any sort of disruption that we might encounter, including, whether it's different border crossings or different ways to move railcars into the United States.
Justin Long: Okay, that's helpful. And then second question, I wanted to touch on the revenue guidance. I think it was a bit surprising to see the pressure that you're anticipating in fiscal '24. I think it's about 10% at the midpoint on a year-over-year basis, just given the recent order flow. So can you provide a little bit more color on why you expect to see the delivery pressure? I know you're reallocating some capacity for refurbishments, etc. But is there any opportunity to maybe produce at a level that's above this guidance you've provided? And when you take a step back and look at street estimates that have kind of been hovering in that [370] range for this year for EPS, is that something that seems reasonable when you balance the revenue pressure with the margin expansion you're forecasting?
Lorie Tekorius: That was a lot, Justin. Thank you. So we did think long and hard as we were giving our guidance around deliveries and revenue, acknowledging that there might be a little bit of a, swallowing hard on what's going on. We are -- we and others in this space are being very disciplined about how we think about production, not just dialing up production so that we can put a big flash number out there and then see 12 or 18 months from now production needing to be dialed back. I think that the industry is responding in a very disciplined way. I think the fact that we're dedicating some of our new car space into some of these other activities, this large program work, which is critical in our industry, particularly in the North American market, allows us to keep lines running as opposed to, again, ramping up it's going to be a creative to earnings, but it doesn't show up in the delivery numbers and the revenue associated with that activity is going to be less. So when everyone likes to go through their process of taking manufacturing revenues and just dividing it by deliveries, you're going to probably start to see some headwinds to the ASP and I would liken it to back when there used to be more intermodal activity going on. Intermodal cars have a lower ASP, which was kind of that gets to that mix shift. I would hope that as we continue to present the activities that we're doing, you and our shareholders will see that we're looking at our footprints and where we've made investments in our facilities and our operations and we're making certain to deploy those in ways that are generating a good return.
Adrian Downes: And the one thing I would add, Justin, I think before your follow up question is even at these revenue guidance numbers, it still is our second highest level of revenue ever. So not every year can be a record, not every year can be record deliveries, but this is still very strong activity, especially when you look at our past several, our overall history. And then I think you did have a question around consensus estimates. And I don't know if you want to take that, Lori, or I don't know, I don't know.
Lorie Tekorius: You go right ahead, Justin, and I'll. 
Brian Comstock: So I think based on what we see, we do not have any heartburn around the consensus EPS number at this point. 
Justin Long: Thanks. I know that was a loaded question. Appreciate the time. 
Operator: Our next question comes from Bascome Majors with Susquehanna. Please go ahead.
Bascome Majors: Back to the delivery schedule. Can you talk about how much open space you have on your North American lines for this year still if orders were to be placed near term?
Brian Comstock: Yes, Bascome, this is Brian Comstock. We're looking at less than 10% of our capacity is available for the fiscal year.
Bascome Majors: So any major orders are really going to go into fiscal '25 visibility now. Can you talk about how much visibility you have into the fiscal '25 plan right now, whether it be thousands of cars, a percent of capacity, any way you want to frame it?
Brian Comstock: Yes, I think if you look at our total backlog of roughly 31,000 cars and then calculate what we're anticipating to deliver, it gives you a pretty good idea of what we're looking at today. The pipeline continues to be very strong despite some of the other rhetoric about recession. The recession really is around intermodal. If you think about it in some of the truckload conversions in box cars, but the other units are very strong. So we have really good visibility at the end of 2025 at this point.
Lorie Tekorius: Yes, and I would say I'm speaking to intermodal. I think to me, while right now there's not a lot of demand for intermodal and our delivery guidance doesn't include any intermodal activity, I think that could be a bright spot if as consumer activity shifts from services more back to goods, there might be a bright spot of a need for intermodal equipment.
Brian Comstock: Yes, I think the other thing we're pointing out, and it kind of goes a little bit to Justin Long's question and yours, Bascome, is when you think about our delivery, about 15% of our capacity is now dedicated to sustainable conversions and or other large programs, which to Lorie's point do have a lower ASP, but they typically have a higher margin associated. So maybe that might be helpful as you guys think it through.
Bascome Majors: Thank you for that. And maybe just to call back to Justin's question one more time. I mean, it seems like you've been kind of flirting with this dollar per quarter run rate of earnings pretty closely for the last few quarters. And certainly you've been demonstrated in a much stronger margin market that you can do that consistently in a better part of the cycle, although this is a very different cycle than that one. We write to think that that's on the horizon as your production rate gets stable and your margins get to where you think they can be sustainably. And some of this your rationalization is behind you versus in front of you; just trying to understand what the underlying P&L of the business can look like when you get the business to where you want it to be. Thank you.
Lorie Tekorius: Sure, Bascome. Thank you. And I do think that that is achievable right now. One of the things that maybe we haven't highlighted as consistently is as we're building our own fleet. That means that we're taking some of the production that would typically be sold or syndicated and keeping it on our balance sheet. And it takes a little time for the earnings associated with that recurring revenue to build up to offset that immediate recognition of margin right away. So I absolutely see as we are continuing to focus on efficiency in our operating activities, so manufacturing as well as our maintenance services and aftermarket parts, I see that revenue and margin build when it comes to leasing. So I would be great if we could just kind of say, yes, dollar a quarter. And then where do we go? 
Bascome Majors: Thank you all for the time.
Operator: Our next question comes from Ken Hoexter with Bank of America. Please go ahead. 
Ken Hoexter: Hey, Lorie and team. Good morning. Just to clarify, Lorie, that last answer there. So if you're, it looks like you're getting more external orders, right? Or if I'm understanding you, right? So does that mean we get more real time revenue recognition in terms of that, that eliminating maybe some of the lumpy delivery surprises because you get that as you build more for external or is that not what you're suggesting?
Lorie Tekorius: No, what I'm suggesting is so we have, so if you think about it, someone needs a rail car. They may want to buy it. That's great. We're happy to build a rail car and sell it straight out. Oftentimes, we have folks who don't want to buy a car. They want to lease the car. We have very strong lease origination capabilities to the extent that we are building our owned lease fleet to create this recurring revenue cash flow, tax-advantaged cash flow stream, predictable revenue. We're keeping some of those on our balance sheet, meaning over time, as we grow our portfolio, you are going to have more of this recurring revenue and stable earnings. In the short term, that means that some of the immediate satisfaction you might get through the P&L by selling the car or syndicating them, that's going to get deferred.
Ken Hoexter: Yes, so no change. It's not like this new order is changing that. It's just this is the whole concept of adding the leasing just creates that more stability. I thought there was a message you were maybe getting some more orders which would have stalled some of this syndication?
Lorie Tekorius: No, yes. 
Ken Hoexter: Yes, Go ahead. 
Lorie Tekorius: No, I was just going to say we are keeping more of what we originate on our balance sheet than we would have historically. 
Ken Hoexter: And then I just want to revisit, I guess, Justin and Bascome's questions on the delivery to understand. I know you said you've got maybe 10% left and available, but yet this number being down is, Lorie, is that you being conservative in terms of that built potential? Is there a potential where you create more spaces through an intermodal potential there? I just want to understand, obviously, the stock is taking a hit today given you had this great order number a month or so ago, and now it seems like we're constrained on that build in that fiscal '24 outlook. I just want to understand the messaging just seems a little odd, if you can help me understand that a bit. 
Lorie Tekorius: Sure, and I guess what I would say is we're trying to highlight the fact that some of our new car production space is being consumed. I think Brian indicated about 15% of our space is being consumed by activity that does not show up in just a delivery statistic. We can think about how we do a different job to identify how much of what's the revenue or the margin potential on that activity. But I would say that the OEMs in the North American space are being a bit more disciplined as opposed to just trying to crank the dial up to juice out a bunch of deliveries in a particular period. But we're thinking about the longer term and when our customers need the rail cars and what's that right steady pace of producing cars. So as we look at our footprint and make certain that we are utilizing the investments that we've made in that footprint to generate return, it is not as easy as in the past where it was just look at deliveries and convert it to revenue. There's other activity going on.
Adrian Downes: And the one thing I would add, Ken is that I mean this is part of our DNA is solving our customers problems and our customers don't always need a new rail car. Sometimes they need a large number of cars refurbished, converted, and this is where we step in and we work with our long-term core customers and take care of it from that perspective versus just trying to jam new cars down their throat. 
Ken Hoexter: Yes, that makes complete sense. So maybe there's a new statistic. I don't know whether you kind of give like, hey, that thousand car potential turns into X number of remods or something that that can I guess somehow fill that revenue void or understanding that future revenue potential void.
Lorie Tekorius: Great [statistics], Ken.
Ken Hoexter: Great. Yes, no. My last one, sorry, I'm just going to squeeze another one in quickly. But international, is there some discussion I know in the release you talked about what was being done now Brazil and included in the number of your outlook? Is there maybe an international versus domestic mix or in the backlog you can talk to?
Brian Comstock: I would say that our international activity is relatively stable. Our Brazil activity has been historically included in our deliveries and backlog but overall it's about 20% of orders in the most recent quarter, about 20-ish percent I think in backlog and it is predominantly weighted towards European activity because it is much larger there and there is more just overall activity going on versus Brazil but Brazil continues to be a very profitable operation for us just on a smaller scale. And we call out Brazil separately. It is small but we account for Brazil. We don't consolidate it so it flows through the equity method of accounting. We do include the deliveries and backlog but it doesn't flow through our revenue line over time which is why we've historically called that out separately. It's not because it's changing that we're calling it out this quarter.
Lorie Tekorius: And then maybe the one last thing I would jump in on when it comes to international is we are getting some nice traction in Europe on originating leases. So this is where in the European market we are taking those commercial capabilities that we have to originate at least working directly with the shipper. The difference for now is that we're not holding those railcars on our balance sheet but we are syndicating them through to a syndication partner but it does give us more control of our production levels, our production schedule and puts us right in touch with our customer which has served us well in the North American market. 
Ken Hoexter: Great thanks Lorie, Justin, Adrian and Brian appreciate the thoughts. 
Adrian Downes: Thanks Ken. 
Operator: Our next question comes from Allison Poliniak with Wells Fargo. Please go ahead. 
Ryan Deveikis: Good morning, this is Ryan Devakas on for Allison. Just I guess asked in another way, I mean you guys used to provide some level of detail on railcar refurbishments. I think last quarter it was 1,000 railcar units at 85 million. Is there any, like, can you record, well, I guess what I'm trying to say is, can you give that level of detail now, and then, like, let's baked into the fiscal '24 guidance?
Adrian Downes: I think part of it is that the, what we used to provide were explicitly a very narrow definition conversions, and what we've seen is that our production space is actually being utilized by more than just that narrow definition, and so we're not necessarily disclosing that because it's a little fungible because not all work is the same. And part of it is, I think we're seeing north of 2,000 cars are included in our manufacturing facilities for this refurbishment and conversion work in fiscal '24.
Brian Comstock: Yes, this is Brian, Ryan, and maybe back to Ken's question a little bit, too. I think if you take the number that I had kind of given, which is 12% to 15% of our production is a sustainable conversions and or some form of modification, and you look at our delivery guidance, I think you'd come up with a pretty good idea of what we're anticipating to build or put into that grouping.
Ryan Deveikis: Thank you. And then, I guess one last one, CN mentioned last night they're starting to boot Lithium for EVs. First, was kind of wondering what kind of car height that perhaps goes in, or if you guys have seen any inquiries or level orders that are servicing this market at this point?
Adrian Downes: Yes, it's a good question, Ryan. I can't speak too much for under several NDAs, but I can tell you that there is opportunity in the marketplace for moving Lithium batteries as the EV market ramps up.
Ryan Deveikis: Okay, appreciate it. Thank you.
Operator: Our next question comes from Steve Barger with KeyBanc Capital Markets. Please go ahead.
Steve Barger: Thanks. Sorry, I missed some of the opening comments, but, Lori, early last year you talked about evaluating where you had value tied up on the balance sheet and a goal of driving better returns or exiting those assets. Did you talk about that already, or can you update us on the evaluation process and what the action plan is?
Lorie Tekorius: Sure, Steve. So, yes, and this is not a process that is not over yet, but the places that we have executed on in fiscal 2023 is we sold the Gunderson Marine operation that's here in Portland, Oregon, so that concluded in May, I believe, and then we also sold a small foundry that was part of the ARI acquisition foundries located in Texas. We sold that in August. We also exited a joint venture that we had in Turkey where we were manufacturing some components to go into our Polish and Romanian operations. We exited that joint venture in August, and then all the way back to, I think it was January, which at some points in time, I feel like this has been the never-ending year, but all the way back to January, we acquired the minority interest in our GBX leasing lease fleet so that now that's wholly owned. And in my prepared remarks, we spoke to the fact that exiting some of those businesses should give us annual savings of about $20 million on a go-forward basis.
Steve Barger: That's great. Thank you for that recap. And do you feel like there's more on the balance sheet that can go through that fix or exit process, and can you frame that or size it?
Lorie Tekorius: I would say that we're constantly looking at it, which is where this conversation was going on with Ryan around how we're utilizing our manufacturing footprint here in North America and saying, we've got this excise footprint that has been dedicated to primarily new railcar production. What are the needs of our customers in North America? And to the extent that they have large refurbishment program needs or re-qualifications, if we can utilize those investments in a manufacturing facility to be able to serve our customer and do it in a way that drops through accretively to the bottom line, that's what we'll do. We've got that opportunity in Europe to also look at how we're utilizing our footprint there. We probably have, I think we have five facilities in Europe. And if we can get the right workforce in the right area, I think that we could increase our production throughput in those facilities. So that's, again what we're looking at is how do we optimize the investments that we've made.
Steve Barger: Yes, that's great. And of course, the reason I ask is last year was a record revenue year, but free cash flow after net investment was a negative number for the third year in a row. First, path through the assumptions this year looks like it could be another low or negative free cash flow year. So just trying, can you talk about that specifically and how you prioritize or how you view cash generation in FY24?
Lorie Tekorius: So and I'm not looking at all of those specific numbers, so Justin will realign if I step off in the wrong direction, but you're absolutely right when it comes to our operating facilities looking at, looking long and hard at where we're making investments to make certain that where those investments are generating the kind of return. And sometimes it might take more than just a particular 12 months to get that sort of return or benefit. The other side of this is we are growing our lease fleet. So that means that there are cars that we have originated the transaction on the leasing transaction and we're choosing because of the quality of that transaction to hold that on our balance sheet. And that is allowing us to grow a very diverse portfolio of railcars that we're holding. It's about $13,600 at the end of August and different take, $200. But it's, it's a diverse car type. It's diverse commodities that are being carried. It's diverse terms. It's diverse lessees, but that is consuming cash that is not being converted into, it's not being monetized as we would have historically done it.
Adrian Downes: And Steve, one thing I would add onto that is as you look at our leasing investment activity, bear in mind that that's levered around 75%. So it's not just $335 million out the door. It's a much smaller piece of that is kind of our investment on that. What I would say from a capital deployment perspective is investing in leasing, investing in our make versus buy strategy and North American manufacturing, continuing to pay the dividend and then opportunistic share repurchases, and also delevering on our short term floating rate debt. So it's, it's nothing that's rocket science, but it's a matter of kind of continuing to check those different boxes and seeing what makes sense in any given time. We do see increased earnings in fiscal 2024. And that will allow us to have some increased cash flow as well versus '23.
Lorie Tekorius: And the one last thing that I would pitch in there is on growing the lease fleet, there's a lot of tax advantage cash flow. So if you look at the balance sheet, you'll see that our tax deferral has increased. So that is another benefit to growing this lease fleet is the tax benefit from those investments.
Steve Barger: Very comprehensive answer. Thank you. And I'll just sneak one last in. Sorry if I missed it. Do you expect a similar earnings cadence first half to second half, or did you talk about how some of the sustainable refurbishments, does that level that out as that works into the capacity?
Adrian Downes: Yes, we didn't talk about that yet, but we would expect something like 45% first half, 55% second half.
Steve Barger: Perfect. Thanks.
Adrian Downes: Thanks, Steve.
Operator: Our final question comes from Matt Elkott with TD Cowen. Please go ahead.
Matt Elkott: Good morning. Thank you. Just one last one quick follow up. The 45/55 cadence ADN, does that apply to everything, deliveries, margins, earnings?
Brian Comstock: Pretty much, yes. I mean, there's going to be some puts and takes in certain lines, but overall, yes, I think that's a reasonable assumption.
Matt Elkott: Okay.
Adrian Downes: And Matt, if you're going to do the math on that real quick, we do have more cars going on to the balance sheet kind of in the first half of the year than on the second half. So it is that normal kind of quarter to quarter production scheduling timing thing.
Matt Elkott: Got it. Got it. And Justin, does all the refurbishment revenue, does it all go into manufacturing, or is it some of it in the maintenance of the repair business?
Lorie Tekorius: It does go in both places. It's more the way that we manage it. It's based on the primary activity that goes on in that facility. So to the extent, let's say in Arkansas that we're doing some of these, this program work, it would still show up in manufacturing revenue, even though it's more refurbishment work, because we're managing it as a manufacturing facility.
Matt Elkott: Okay. I was just trying to gauge, reconcile how deliveries are going to be down in '24 and revenues, I guess manufacturing revenue from deliveries, but manufacturing margin is going to expand unless you guys were talking about these holiday margins. But I thought you said manufacturing margin might expand?
Lorie Tekorius: We do expect, I do expect manufacturing margins to grow. We are not satisfied with  where they are. We do expect that to continue to grow. And that is part of, to the extent that you remember back when Bill Krueger was presenting at Investor Day, and we were talking about our insourcing program, which we expect to reduce or create a benefit of somewhere in $50 million to $55 million by 2025. We are constant, we are not satisfied with where our margins are, and we will continue to be a combination of investing to be in control of our own destiny, as well as to think through how can we operate our facilities more efficiently, whether it's for program work or new rail car manufacturing.
Matt Elkott: Yes, go ahead, Justin.
Justin Roberts: If I could just emphasize, so we are guiding to a about a 200 basis point increase in aggregate margins with a good chunk of that is coming out of our manufacturing business just on a full year 2024 versus full year 2023 activity. 
Matt Elkott: Okay, got it. But just like theoretically, just to help me understand it, the reason manufacturing margins would expand on down deliveries is because of the structural improvements you guys are making as part of the bigger plans, as well as a higher portion of refurbishment revenue, which is higher margin.
Brian Comstock: In addition to, I mean, if you remember back to this year, we had some operating challenges earlier in the year. We are seeing more steady, stable activity and just better operating efficiencies as we kind of continue to recover from the pandemic.
Matt Elkott: Got it. Great. Thank you very much. I appreciate it.
Lorie Tekorius: Thanks, Matt.
Operator: This concludes our question and answer session. I would like to turn the conference back over to management for any closing remarks.
Lorie Tekorius: Thank you, Sarah. And thank you, everyone, for joining us today on our call to discuss our fiscal 2023 results, as well as our outlook for 2024. We're excited to get after all of the opportunities that we laid out today, as well as at our investor day back in April. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.